Operator: Ladies and gentlemen, good afternoon, and welcome to Advantage Solutions Fourth Quarter and Full Year 2022 Earnings Conference Call. Today's call is being recorded and we have allocated one hour for prepared remarks and Q&A. At this time, I'd just like to turn the conference over to Kimberly Esterkin, Investor Relations for Advantage. Thank you. You may begin.
Kimberly Esterkin: Thank you, operator. Thank you, everyone, for joining us on Advantage Solutions fourth quarter and fiscal year 2022 earnings conference call. On the call with me today are Dave Peacock, Chief Executive Officer; and Brian Stevens, Chief Financial Officer and Chief Operating Officer. After their prepared remarks, we will open the call for a question-and-answer session. During this call, management may make forward-looking statements within the meaning of the federal securities laws. These statements are based on management's current expectations and involve assumptions, risks and uncertainties that are difficult to predict and could cause actual results to differ materially from those expressed or implied by such forward-looking statements. Actual outcomes and results could differ materially due to a number of factors, including those described more fully in the sections titled Risk Factors and Management's Discussion and Analysis of Financial Condition and Results of Operations announcement in the Company's filings with the Securities and Exchange Commission. All forward-looking statements are expressly qualified in their entirety by such factors. The Company does not undertake any duty to update or revise any forward-looking statements whether as a result of new information, future events or otherwise, except as required by law. Please note management's remarks today will highlight certain non-GAAP financial measures. Our earnings release, which was issued today, presents reconciliations of these non-GAAP financial measures to the most comparable GAAP measure, which can be found on the Investors section of our website at advantagesolutions.net. The Company has also prepared presentation slides, which are posted on the website. You may walk to refer to the slides during today's call. This call is being webcast, and a recording of this call will also be available on the website. And now, I'd like to turn the call over to Advantage's CEO, Dave Peacock.
Dave Peacock: Thanks, Kimberly. Good afternoon, everyone, and thank you for joining us. I also want to thank everyone on the Advantage team who's helped to welcome me to the Company. I'm excited for the work we are embarking upon together. Today is my first earnings call since joining Advantage, and it also marks my exactly one month of the Company. In the past four weeks, I've spent time with our team to understand the state of our business. I spent time with our Board of Directors to review our financial performance and discuss our strategic plans for growth. And I've spent time with clients and associates. In my brief time here, I've seen new opportunities for our company which serve as constant reminders of my decision to join this team at this time was the right one. In talking with our clients, it's clear that the work we do is highly valued and critical to the success of their businesses. It's also clear that Advantage's capabilities are as relevant now as they've ever been, given the challenging labor market for our retail customers and given intense competition among CPG players. Our company is a necessary component of our clients' ongoing operations. And due to our scale, breadth and depth of experience, we are able to adapt as their needs evolve. I see opportunities to reinforce our connection to our clients by enhancing the processes and analytics has underpinned the relationship. We will also be driving value for clients by leveraging insights across our sales and marketing platform to help better inform our collective decisions and actions. My visit with associates and retail trade so far have left me motivated by the culture and diversity of Advantage's team and the legacy of winning that has been nurtured throughout the organization. It's one that sits at the intersection of CPG and retail and promotes the seamless functioning of the broader consumer ecosystem. As I consider the experience of working an Advantage for our associates, we need to be more intentional in our on-boarding efforts and provide a clear path for those associates who are looking to advance within our company. I also see the potential to more tightly convey both our purpose and role in the work that we do and how we articulate our value to associates and all stakeholders. In joining Advantage, I am most proud of our people. They were the reason our core business is so resilient as they bring excellence in service to our clients and customers every day. For the ninth consecutive year, Advantage holds the number one market share in essential sales and marketing services and the number one position in experiential and event marketing. Revenue for the full year also topped $4 billion for the first time in company history. Those top line results are indicative of a proven track record across economic cycles and our great foundation to build upon. With not quite 30 days under my belt, I'm continuing to fully immerse myself in our business, and we'll spend the next few months building a further understanding of our capabilities our challenges and the opportunities that will allow us to deliver value to all of our stakeholders in years to come. I will be providing that outlook later this summer, leaning on five key themes to guide my initial thinking. First, our relentless focus on the core value proposition to customers. It is paramount to an effective organization. Next, this business should provide strong cash flow yield, and this will be a guiding focus for how we operate going forward. This leads into the importance of our balance sheet. A strong balance sheet is the foundation of any good business, and we will reduce our debt level and associated ratios over time. Fourth, people make all the difference in this business. So a transparent, effective process for assessing, retaining and attracting talent at all levels is critical as is ensuring an inclusive culture with clear opportunity for upward mobility. And finally, we must have optimized processes supported by systems and analytics that are executed with precision and how a company like ours leverages scale and relative market position most effectively and creates value for all constituents. I'm excited about this team's commitment to deliver, and I look forward to sharing more about our strategy in the months to come. With that, I'll turn it over to Brian for more about our financial performance and outlook.
Brian Stevens: Thank you, Dave. It's great to have you as part of the team, and I'm looking forward to continuing our partnership together. Let's begin with our P&L results for the fourth quarter. On a consolidated basis, fourth quarter revenues improved 6.8% year-over-year to $1.1 billion. Sales segment revenues of $665 million increased 5% year-over-year. Sales segment adjusted EBITDA of $78 million declined 17% year-over-year. Revenue improvement was driven by the strength in our lower-margin business services, including retail and merchandising services, which was partially offset by a decrease in third-party selling and retail services. The decline in adjusted EBITDA is largely a result of the continued inflationary pressures have been discussed on previous earnings calls. The marketing segment revenues of $438 million were up 9% year-over-year. The growth was primarily driven by the continued return to our in-store sampling and demonstration services to higher event count volumes. Marketing segment adjusted EBITDA of $35 million was down 42% year-over-year, driven largely by the ongoing spend and inflationary impact of recruiting, wage and employee benefit expenses, coupled with headwinds in our higher-margin digital business services. In the aggregate, as anticipated, adjusted EBITDA margins came in at 10.2% and down 470 basis points year-over-year, reflecting a decline of 320 basis points in the sales segment and 690 basis points in the marketing segment. Moving on to discuss the balance sheet items. In October, we conducted our annual impairment test, which led to the non-cash goodwill impairment of $1.368 billion and $205 million non-cash intangible asset impairment charge. These impairment charges were mainly due to a sustained decline in the Company's quoted share price, headwinds from inflation and the rising interest rates. This impairment is a non-cash charge in the fourth quarter and does not impact cash flow of the Company. Our net debt to adjusted EBITDA finished in the fourth quarter at approximately 4.5x, and it remains our goal to delever our balance sheet and reduce our leverage ratio over time, and we are open to considering very initiatives that adhere to that goal. For the full year, we achieved levered free cash flow conversion prior to earnouts or M&A of approximately 20% of adjusted EBITDA, which we believe will improve in 2023. Staying in line with prior quarter, our debt profile remains healthy, and we have no meaningful maturities in the next four years. At the end of the fourth quarter, our total funded debt outstanding continued to be approximately $2 billion. A summary of our debt and equity capitalization can be found on Slide 6 in the supplementary slides for the fourth quarter results posted in the Investors section of our website. Now turning to the outlook for fiscal 2023. For the year, we anticipated adjusted EBITDA in the range of $400 million to $420 million prior to adjustments related to any acquisitions and divestitures. While this is a decline from our 2022 results, we believe it is prudent given the continued industry headwinds and the uncertain macroeconomic conditions. As the quarters progress and we have more visibility around our business, we will revisit our annual guidance. While we do not provide revenue guidance, I would note that as we refine our business and refocus our efforts on our core areas of strength, we will, as just noted, consider several strategic alternatives such as making divestitures of certain business services that do not align with our main focus areas. These divestitures could result in a decline in our revenue and EBITDA, but as currently contemplated, would improve our overall leverage position. With that said, I'd like to provide some more insight into why as of the date of this call we believe this is the right adjusted EBITDA range for the year. First, labor availability continues to be tight. Relative to our previous expectations, this has resulted in a more gradual rebuild on our in-store sampling and demonstration business services as well as our retail merchandising business services despite continued demand for our offering. While labor is starting to show signs of improvement, this improvement is slower than the Company had previously anticipated. We expect labor to remain top of mind challenge in 2023, and we plan to continue investing in our ability to attract and retain talent. On a positive note, we are continuing to see the benefits from our new recruiting software that has improved our speed to hire despite the challenging market backdrop. Overall, speed to hire in 2022 was approximately 25% faster than 2021. And in the fourth quarter, Advantage made approximately 1,500 net new hires. Second, inflationary pressures have also negatively impacted the profitability of our business. In operating our workforce subscale, we're not able to fully leverage certain fixed costs in our labor-intensive business services which has negatively impacted our margins. Furthermore, we continue to see a price lag associated with our sales business segment given the ongoing higher-than-average increase in wages, travel, gasoline and other expenses. Third, broad macroeconomic uncertainty has challenged consumers, retailers and CPG brands, resulting in volatile demand signals across the ecosystem. In the new year, we will continue to pursue pricing opportunities to offset wage and ancillary spend increases and preserve margin. While the year-over-year wage inflation slowed to mid-single digits in the second half of 2022, compared to high single digits to low double digits in the first six months of the year, this is still well above our long-term inflationary rate increases. As labor costs increase, we remain diligent with regards to pricing and continue to approach our customers for price increases. We will also continue to prioritize deleveraging our balance sheet in 2023 and work to drive the continued rebound of our in-store sampling and demonstration services. Although securing labor remains challenging, we remain confident that the business will continue to build back this year. Thank you for your time. I'll turn it back over to you, Dave.
Dave Peacock: Thank you, Brian. There is no doubt that 2022 was a difficult year for Advantage. And while macro conditions remain challenging, we are taking the right steps to position the Company strongly for the future. Operational redesign, technology enhancements, efficiency initiatives and aligning pricing to value are not only enabling us to weather the current environment but are also helping us to establish the necessary building blocks for long-term success. We welcome your questions, and we'll now open up the line. Operator?
Operator: Thank you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Toni Kaplan from Morgan Stanley. Please go ahead.
Greg Parrish: This is Greg Parrish on for Toni. Welcome to Dave. I look forward to working with you. Dave, I wanted to start with you given your fresh perspective here is clearly, there's some headwinds facing the Company. What moves the needle in the right direction? Is it just labor headwinds alleviating? Or what are your key initiatives really to drive this thing in the right direction?
Dave Peacock: Thanks, Greg, and I look forward to working with you and Toni. Look, I think you've got external and internal opportunities for improvement, right? You've got a macro environment with significant labor inflation, you've got that, what is it now? I think two openings for every worker right now. I mean it's a significantly different labor environment that we've seen historically. That, like any other cyclical dynamics should bounce back eventually. The question is just is when. And then internally, we've got to find ways to deliver on our clients and customers' expectations, leveraging technology, being more efficient, really understanding and decomposing our time to serve in the market. And then as Brian referenced in his comments, you will see, I think, a demonstration business continue to bounce back. We were encouraged to hear in last week's Cagney sessions, so much discussion around innovation. And typically, where there's innovation, there's a desire for sampling and to get products in front of people. So, we've got a number of levers that we can pull both internally and then you get the macro environment that we're optimistic eventually will be more favorable for our business.
Greg Parrish: Great. And then follow-up sort of along those lines, let me talk about passing through costs. I mean I think it's been an issue, and I think even it's on one of the slides here. And Dave, your client-facing background right? How do you go about enhancing the value proposition to really better able be better able to pass due cost to your customers?
Dave Peacock: Greg, I think you hit the nail on the head. It's reinforcing that value proposition. And I've spent a lot of my time in the first 30 days visiting with clients. I think, have had 18 or 19 different client meetings, a lot of traveling and understanding what's important to them, how we should be tracking their business alongside them, getting ahead of any gaps in performance or opportunities for better performance in the marketplace. And both addressing them right away and bringing them to them. It is not an overly complex business, but it's a highly executional complex business, and it requires a lot of attention to detail. And I think as I've spoken to clients, I've been reassured of the value we provide. The moment of truth for a lot of our brands, products and with their consumers is it's retail. It's that decision point when someone's going to make a purchase. And we have a great opportunity to influence that with the work we do and then provide those insights back so that they can -- and we can make better decisions as far as activity. So, I think it's building on that continuous loop, reinforcing that value proposition and always demonstrating a strong ROI that justifies the value we're creating for them.
Greg Parrish: Yes. Great. And then I just slip one last one and then I'll hop out here. Just wanted to ask about competition. I have two big competition competitors on the sales side. And more organized now than they were a few years ago, and they're also competing on price. So how much of that impacting you? And I think, Brian, you've said a couple of times that when we've talked over the last year that you haven't lost any customers yet to price, is that still the case. But how much of that is really playing a factor in your ability to pass through price right now? So if you can kind of just update us on the competitive landscape?
Dave Peacock: I think at the end of the day, we're mindful of our competitors. But at the end of the day, we need to focus on our clients and customers and the job we're doing for them. Our competitors become less and less relevant for us if we're doing the best possible job for our clients and customers. And we've got -- if we have the highest level of satisfaction as it relates to what we do and that the perceived value and efficiency to what we do. We obviously pay attention to what they're doing. We've got a great relative market position in just about all of our businesses with more than 60,000 employees with over 3,000 clients and a significant position in the marketplace, both with retailers and with our branded CPG companies, we've got a unique perspective being at that intersection on the business and especially with the breadth of categories and business we worked on. So key for us is just making sure that each of those relationships and each of those partnerships is managed properly. And then that we're leveraging that collective intelligence to provide value to our clients and customers.
Operator: Thank you. Our next question comes from the line of Jason English from Goldman Sachs. Please go ahead.
Jason English: A pleasure to be here with phone, Dave. Look forward to being in person. I've got a number of questions. So first, starting with your confidence in the $400 million to $420 million for next year. If we take where you finished the year and we apply normal seasonality to it, normally deliver like 30% of the EBITDA in the fourth quarter. It implies $370 million of EBITDA at the run rate you exited. So what gets better next year to get you to that $400 million to $420 million?
Dave Peacock: No, I appreciate it, Jason. I look forward to working with you. I'll give you some high-level thoughts initially. Brian may have an opinion as well. First, I'd say, while there's been historic average as it relates to where -- how our EBITDA has -- where it's been derived by quarter in this environment, especially when you have the volatility of both the labor market, you've got timing of pricing rolling in relative to contracts. You've got a recovering demo business. The percentage of EBITDA that comes from a quarter may change, number one. And while we're seeing the first quarter a little bit like the fourth still as we look out. And obviously, we know both demonstrations are going to be booked. We have obviously a clear line of sight on some of our contractual terms and the work we're going to be doing and a pretty good understanding of where range rates should go. We have confidence in the guidance we provided.
Brian Stevens: Yes, Jason, maybe I can add a little bit more. I agree with what Dave is saying. If you look at Q4, first of all, if you look at the COVID impact of '21 versus not being COVID in '22, and you look at the quarter -- second quarter to second quarter, third quarter to the third quarter and just apply it trending for Q4, that's about half of the difference. And then also in Q4, specifically, we have a timing difference in the sense of for demo, we had a price increase in Q4 of '21 to address wage inflation in '22. We did get a significant price increase in Q4 of this year, but it's effective Q1 of '23. And so there's a quarter timing difference. And you'll see that flow through in Q1 going forward. And then also, we've had headwinds, which I'm sure you've seen in the sector on the digital advertising aspects that hit us in Q4 as well. So it's -- there's a some differences within the quarter that we think give us confidence, I guess, going into our $400 million to $420 million for next year.
Jason English: Okay. And I want to come back to the pricing comment before I get there, I want to stay a little higher level, your guidance. I know you didn't give revenue guidance for next year, but we can all kind of back in just some reasonable assumptions. And it implies like you in the mid-9s, mid- to high 9% EBITDA margin range, which is, it's kind of similar to an outsourced manufacturer for CPG companies or a private label supplier to retailers. And I don't think it's unreasonable to assume that they're going to look to you as something similar, an outsourced provider or sort of basic production or a here in this case, basic labor. As such, is this like a reasonable base case that this is the right level for this business? And if you try to get greedy like any private label manufacturer would and chase a higher margin, you're going to lose business and it becomes just sort of spiral where you get stuck in this 9% to 10%, which can be fine, right, in terms of cash generation, if you're generating good cash. But I just want to get level set expectation on run rate margins.
Dave Peacock: No, Jason, that's a great question. I know you've read about this in the past. And I came from a background on the investment side where we look contract manufacturing quite a bit in the previous role before joining Advantage. A couple of things to think about when you make that comparison, one, I do think this could be -- should be a low teens margin business long term. You're seeing volatility in the business when you see the sort of swell in margin that occurred as demo fell off and during COVID and then the snapback of that lag in pricing relative to labor cost inflation. A little bit of labor cost mix, if you will, kind of full-time hourly relative to part-time hourly as it relates to just the full pin wouldn't change as far as the number of people. But to the degree there's more part-time hourly available that group would swell in size a little bit. But on the contract manufacturing point and this is stuck with me after reading some of your work previously. First, I'd say one difference. When I look at -- we know this business pretty well in the private label side. When I looked at the top 10 categories in private label, they're anywhere from, on average, on a 10 to 20 different contract manufacturers where we're in a different situation where you've kind of got what I'd say kind of three national alternatives, us being the largest regional network and doing it yourself. So you've just got less options from that standpoint when you look at just what the valuation is created. And when you factor in the thought that we do believe that this could be slightly higher margin, and look, right now, if you look at trading multiples of where some contract manufacturers have traded historically, at least in the last seven years, you apply that multiple to our business, and we should have a $5 stock price today. So to your point, it's not all bad, but I think there are differences. And I layer in the fact that we need to, and I mentioned in my prepared comments, be very dogmatic about leveraging the insights we benefit from being at sort of this intersection of CPG and retail, brand and private label, and make sure that we're finding as much value as possible for our clients. And we think the revenue side of these businesses is absolutely critical, not diminishing the production side. But if we're the partner we should be with our clients and customers, the support we provide should come with a premium.
Jason English: And if your services are so critical and create so much value, why have you not been able to raise price successfully?
Dave Peacock: Well, I think one, we have, some of that's going to start rolling through, as Brian said, as you move in through the year. And I think there is opportunity to reinforce the ROI and have discussions with some of our clients and customers relative to the price that we're charging. So I do think that is an opportunity going forward. But we have taken steps in that regard over the last call it, 12 months, you do see contractual timing also impacting our contract timing impacting sort of a lag as it relates to when you can capture price with certain of our businesses.
Jason English: Okay. And last question, I'll pass it on. I know I'm very probably overstayed my welcome. You've made a number of acquisitions in the last three years, telling into roughly $250 million of outlays. Is it reasonable to assume that you acquired them for around 6x, so that you've got $40 million of EBITDA growth over the last three years from M&A? Just trying to get a sense of like underlying business, how much erosion we've seen?
Brian Stevens: Yes, Jason. So I think when you look at it, it's not easy to say it from like an apples-to-apples basis because a lot of the businesses we're acquiring. We're acquiring -- we're not acquiring revenue streams. We're requiring a servicing capability that we can leverage our relationships with the clients, our relationships with the retailers, the depth and breadth of our personnel, our technology. And so it's blended together with our growth for our overall business. So, we run them together with the businesses, not separately. So, it's not easy to separate those apart.
Jason English: So you're paying higher multiples than 6% on average in aggregate?
Brian Stevens: I'm saying historically, we've talked about paying on average mid-single digits multiples.
Jason English: Right. But now you're buying businesses with no EBITDA just capabilities?
Brian Stevens: No. The businesses have EBITDA.
Operator: Ladies and gentlemen, since there are no further questions, I would like to turn the conference over to Dave Peacock, CEO, for closing comments.
A - Dave Peacock: Thank you, Ryan. I firmly believe Advantage has a bright future and a strong foundation from which to build an even better company. Along with my entire management team, one of our core goals in is to rebuild credibility with you, our investors. Our associates are providing essential services that provide a high yield for our clients and customers and helping our CPG companies and retailers navigate the current environment efficiently and with more conviction. Our scaled talented team is a true source of competitive advantage for our company, and we intend to unlock this value as we work to better enable the organization to drive growth. Thank you again for your time today. I look forward to meeting some of you at the upcoming UBS conference later this month as well speaking on our first quarter call in May.
End of Q&A:
Operator: Thank you. The conference of Advantage Solutions has now concluded. Thank you for your participation. You may now disconnect your lines.